Operator: Ladies and gentlemen, thank you very much for standing by. And welcome to the Carnival Corporation Fourth Quarter Earnings Conference Call. During this presentation all participants are in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, today’s conference is being recorded on Tuesday, December 21, 2010. It’s now my pleasure to turn the conference over to Howard Frank, Vice Chairman and Chief Operating Officer at Carnival Corporation. Please go ahead, sir.
Howard Frank: Thank you, [Parma], and good morning, everyone. This is Howard Frank and with me here this morning in Miami is David Bernstein, our Senior Vice President of Finance and Chief Financial Officer; Beth Roberts, our Vice President of Investor Relations; and Micky Arison, our Chairman and Chief Operating Officer. I’m going to comment on the outlook but before I -- 2011 outlook, but before I do that I am going to turn it over to David Bernstein to take you through the fourth quarter color and the cost outlook for 2011.
David Bernstein: Thank you, Howard. Before I begin, please note that some of the remarks in this conference call will be forward-looking. I will refer you to the cautionary language in today’s press release. Also, all of my references to revenue and costs will be in local currency unless otherwise noted as this is a much better indicator of business trends. For the fourth quarter our EPS was $0.31. The fourth quarter came in below the midpoint of our September guidance by $0.03 per share. The shortfall was caused by the previously announced $0.07 reduction in our fourth quarter EPS as a result of the voyage disruption, and it not been for the voyage disruption we would have exceeded the midpoint of our guidance by $0.04 driven by higher revenue yields and favorable currency impacts each worth about $0.02 per, excuse me, per share. Now let’s look at our fourth quarter operating results versus the prior year. Our capacity increased 5% with substantially all of the increase coming from our European brands. Our European brands grew 10% while our North American brands only grew 1%. Our net revenue yields increased 3.9% in the fourth quarter driven by a net ticket yield increase of 4.6%. Yields on both sides of the Atlantic improved each growing over 4%. Our North American brands saw very nice yield increases in all itineraries except the Caribbean which was flat on higher capacity. Our European brands net ticket yields improved sequentially each quarter throughout the year and were better than we had expected in the fourth quarter. We were pleased with this performance given the uncertain economic environment, their 10% capacity increase and the fact that the European brands held up so well last year giving them more difficult prior year comparisons. For net onboard and other yields we saw 2% increase, which was in line with our expectations with increases on both sides of the Atlantic. So in summary, we were very encouraged by the fact that we saw growth on both sides of the Atlantic in both net ticket and net onboard and other revenue yields. On the cost side, net cruise costs per available lower berth day excluding fuel were up 1.6% versus the prior year. However, if you exclude the voyage disruption net cruise costs would have been down 1%. Fuel costs this quarter was 6% higher than last year and that cost us about $0.03 per share, while the stronger dollar resulted in lower recorded costs, overall the stronger dollar also translated into $0.03 lower EPS. So in summary, our EPS improved $0.07 this quarter driven by higher revenue yields despite the fuel, currency and voyage disruptions which had a combined negative impact of $0.13 per share. Looking back at the full-year 2010, our EPS was $2.47 which was $0.27 better than the midpoint of our original guidance that we gave one year ago of $2.10 to $2.30 per share. The $0.27 improvement was primarily driven by the 2 points of additional revenue yield and the 1.5 points of additional lower net cruise costs per ALBD. This was partially offset by the combined negative impact from currency and fuel of $0.25. In the end the economies on both sides of the Atlantic improved more than we had anticipated for 2010 driving revenue yields higher in both net ticket and net onboard and other. As Micky indicated in the press release, our cash from operations reached $3.8 billion, about $0.5 billion more than we expected last year at this time and more than enough to fund our expansion program which peaked this year with six ships at a capital investment of $3.6 billion. Before I turn to the 2011 outlook, I would like to update you on how our operations will be segmented in future SEC filings beginning with our 2010 10-K, which will be filed at the end of January. In the past we have reported our operations split into two segments, one was Cruise and the other was Tour and Other. Going forward, we will be splitting the Cruise segment into three parts for a total of four segments as follows. The first segment will be our North American brands which includes our four brands that primarily source their guests from North America. Those are Carnival Cruise Lines, Princess, Holland America and Seabourn. The second segment will be our European, Australian and Asian brands, which we will call EAA to keep things simple. EAA will include our other six brands, AIDA, Costa, Cunard, Ibero, P&O Cruises U.K. and P&O Cruises Australia. The third segment will be Cruise Support which will include our corporate cruise port facilities and cruise support services. The fourth segment will remain unchanged as Tour and Other, which principally includes our Holland America Princess Alaska tour operation. Given the increasing importance of our European brands, we felt that a further breakdown of our Cruise segment was appropriate. Now turning to the 2011 outlook, I will skip the net revenue yields as Howard will discuss that shortly. On the cost side net cruise costs per available lower berth day for the full year and excluding fuel are forecasted to be flat. While we are seeing inflationary pressures in food costs, cotton prices and ocean freight rates, our ongoing cost containment programs, economies of scale and the generally low inflationary environment has allowed us to keep our forecasted costs flat. As fuel and currency are assumptions that impact our results, it should be noted that based on the current spot price for fuel, fuel prices are expected to have a $0.17 negative impact on our earnings next year, while currency is expected to help us by $0.04 per share. In addition, I wanted to share with you the current rules of sum about the impact of fuel prices and currency on our 2011 results. To start with a 10% change in the price of fuel represents $180 million or $0.23 per share impact on our P&L. The impact of a 10% change in fuel obviously moves along with the price of fuel. With respect to a 10% movement in FX, if all the currencies change relative to the U.S. dollar that would impact our P&L by $194 million or $0.24. At this point, I will turn the call back over to Howard.
Howard Frank: Thank you, David. Let me provide some sort of an overview of what 2011 looks like, with four ships being delivered during 2011, fleetwide capacity will increase by 5.2%, 2.8% for our North American fleet and 9.1% for our cruise brands in Europe, Australia and Asia or as we now refer to it EAA. In my comments today if I mistakenly refer to Europe brands, I mean EAA brands unless of course, I really mean to refer to our Europe brands. To you get a little confused join the club. It’s clear that the accountants won out on this one. New ship deliveries in 2011 include the AIDAsol to be delivered in late March to our Germany-based AIDA Cruises, Carnival Magic in late April, Seabourn Quest to be delivered in late May and the Costa Fabulosa to be delivered in late June. 2011 begins the first year of reduced ship additions to our fleet with a capacity increase of 5.2% compared to our 2010 fleet increase of 7.1%. Our estimated CapEx for 2011, including maintenance CapEx is $2.6 billion, down from the $3.6 billion of CapEx in 2010. Based on our 2011 earnings guidance we estimate operating cash flow for 2011 will be approximately $4 billion, resulting in free cash flow for the year of $1.4 billion. With the reduction of our ship additions in each of the next few years, we anticipate generating an even greater amount of free cash flow in 2012 and beyond. As we have previously indicated, we are planning a dividend increase to shareholders in 2011 and we anticipate making the announcement of the new dividend payout after our mid-January Board meeting. Now let me move on to the tone of business. At the present time across the company fleetwide ticket pricing for all business booked for 2011 is nicely ahead of 2010 with higher local currency pricing for both North America and EAA brands. Fleetwide occupancy levels are slightly lower than last year on a capacity adjusted basis, within the overall occupancy and pricing data there are variations in each of our markets and my comments later will include some of that color. Bookings taken quarter-to-date that is since our last earnings call, more or less covering the first three quarters of 2011 have been solid with a strong booking pace and local currency ticket pricing running nicely higher. Ticket pricing for North American brands has been running moderately higher year-over-year, nicely higher if we take out the softer Caribbean winter pricing. While Caribbean pricing on bookings for this period is moderately lower, prices for our other more significant North American brand itineraries, the Mexican Riviera, Alaska, Europe, et cetera are nicely higher. For EAA brands pricing quarter-to-date is also higher year-over-year, most EAA itineraries, including EAA winter Caribbean programs are showing good pricing improvement over last year. So it’s fair to say that the overall demand for cruises continues to be strong clearly evidencing that with the economic indicators turning positive that North America and European consumer confidence is returning. While we are pleased with booking trends and pricing, we are still not back to the pricing levels we enjoyed back in 2008. But I guess that’s good news, since even at those -- at these 2011 expected pricing levels we are on track to achieve a significant increase in earnings per share this coming year, which now leaves me to our revenue yield forecast and earnings guidance for 2011. We have forecasted topline revenue growth of approximately 9% for 2011. This is comprised of the 5.2% increase in our capacity and 3.5% and 4.5% -- to a 4.5% increase in forecasted current dollar revenue yields and on a constant dollar basis that is 3% to 4%. Unit operating costs on a current dollar basis excluding fuel are forecasted to be flat to up 1% and assuming fuel at $527 a ton and currency exchange rates remain at current levels, we are guiding earnings per share in the range of $2.90 to $3.10 for the fiscal 2011 year. The increase in fuel prices in our guidance has a 17% and I think, David, indicated this before, negative impact on a year-over-year basis. Now, looking at the first quarter. Fleetwide capacity for the first quarter of 2011 is expected to be 5.1% higher, 1.7% for North American brands and 10.8% for EAA brands. On a fleetwide basis first quarter 2011 local currency pricing is higher versus 2010’s first quarter with occupancies at the same level as last year. Last minute pricing on first quarter bookings has been strong versus last year and at this juncture we have only a small amount of inventory remaining to be sold to close out the quarter. Our North American brands, they are 67% in the Caribbean, up from 62% in the prior year with the balance in various other itineraries during this first quarter. As I mentioned in my earlier comments, winter Caribbean pricing is slightly lower a year ago on lower occupancies. Mexican Riviera pricing is nicely higher from the low levels of a year ago and pricing across all other itineraries taken together is higher. Taking all North American brand itineraries together, including the Caribbean pricing at the current time is at the same levels as last year. EAA brands are 22% in the Caribbean in the first quarter -- 21% in the Caribbean and 16% in South America with the balance in various other itineraries. Local currency ticket prices, of course, EAA brand itineraries including their Caribbean programs taken together is nicely higher year-over-year on higher overall occupancies. We continue to be pleased with booking patterns and pricing for all EAA brands which is being achieved despite the 10.8% increase in EAA capacity in the first quarter. On an overall basis based on the above for the first quarter, local currency basis we are and this is on a local currency basis. We are estimating that fleetwide revenue yields for the first quarter of 2011 will be higher in the 1.5% to 2.5% range, driven largely by strong increases in European brand pricing net perhaps a slight decline in North American brand pricing. Actually, we adjust first quarter 2010 local currency revenue yields for the $19 million benefit for the unexpected collection of two revenue items, the range of yield improvement would be almost 3% higher in the first quarter of 2011. Current dollar pricing at today’s exchange rates is now forecasted to be slightly higher year-over-year and this is all in the first quarter. Unit costs excluding fuel for the first quarter on a local currency basis are expected to be higher by approximately 3% to 4% or 2% on a current dollar basis and fuel is forecasted at $526 per ton. The higher year-over-year first quarter costs largely results from last year’s first quarter costs being reduced by certain one-time gains. First quarter EPS into 2011 is expected to be in the range of $0.15 to $0.19 per share versus $0.12 per share in 2010, which I’ve adjusted for the one-time gains which amounted to $0.10 per share last year’s first quarter. That includes the $0.02 per share for the revenue items I’d previously referred to. Now turning to the second quarter. Fleetwide capacity in the second quarter of 2011 will be 4.8% higher, 2.5% in North America and 8.6% for EAA brands. On a fleetwide basis second quarter 2011 local pricing is higher on a year-over-year basis with occupancies slightly lower from the previous year. For North American brands they are 55% in the Caribbean with the balance in various other itineraries. Currently pricing for North American brands in the second quarter is higher than a year ago with occupancies currently slightly behind last year. Similar to the first quarter, Caribbean pricing is lower in the second quarter but improved from the first quarter. Pricing across all other North American brand itineraries taken together is higher year-over-year. EAA brands in the second quarter are 55% in Europe with the balance in various other itineraries. Similar to the first quarter, local currency ticket pricing for EAA brand cruises is running ahead year-over-year. Occupancies are slightly down from the prior year levels, which given the 8.6% increase in EAA capacity is not surprising. Booking picture for the second quarter on an overall basis of 2011 is progressing quite well and assuming no significant changes in current booking patterns we currently are forecasting that fleetwide local currency yields for the second quarter will be higher for both North America and EAA brands. On a fleetwide basis we are expecting local currency second quarter revenue yields to sequentially improve in the first quarter. Now turning to the third quarter of 2011. Capacity in the third quarter is expected to increase 5%, 3.6% in North America and 7.2% in EAA. Third quarter booking patterns are still in the early development, so I caution not to read too much into this information at this time. Having said that, early indications for the third quarter bookings are encouraging with fleetwide pricing well ahead year-over-year at slightly lower occupancies, North American capacity from third quarter is 36% in the Caribbean, 25% in Europe and 23% in Alaska. The balance of the capacity is in various other itineraries. Pricing for all itineraries combined is running well ahead of last year at lower occupancy. EAA brand capacity in the third quarter is 88% European itineraries. EAA pricing is running well ahead of last year and occupancy is in line with last year. So the pricing picture for the third quarter is quite good right now but there is still a considerable amount of third quarter inventory remaining to be sold. Much of the third quarter’s revenue picture will depend on the strength of 2011 wave season, but given the recent positive economic signs in the global economy, we are feeling optimistic that the 2011 wave season will be strong. And so that concludes my comments on the 2011 outlook. And with that, Parma, I will turn it back to you for questions.
Operator: Absolutely, sir. Thank you. (Operator Instructions) And I’m please to say that our first question comes from the line of Felicia Hendrix with Barclays. Please proceed with your question.
Felicia Hendrix – Barclays: Hi. Good morning, guys.
Howard Frank: Good morning.
David Bernstein: Good morning.
Felicia Hendrix – Barclays: Just a couple of questions, Howard, thank you for the detail there and the color. So having said that, I’m just wondering with the entire industry shifting capacity to Europe in ‘11, including you, combined with the shaky economies, is there any concern that you have about the outlook that you just provided?
Howard Frank: Again, I think that the outlook I provided I think recognizes the significant increase in European capacity this coming summer season. So, no, not really, we have no concern about the outlook. We are pretty confident that with the outlook and we do think Europe may be a little bit more challenging but that’s factored into our guidance right now.
Felicia Hendrix – Barclays: Okay. That’s great to hear. And then for as long as I have covered this industry everybody has been talking about that one day when new supply growth might slow and now we’re finally at that point and now the conversations have shifted to, well, with supply growth slowing is there a risk of driving demand? So, I’m just wondering if you can address that. In your mind as you and the rest of the industry is slowing your newbuild programs. Do you think that there is any, particularly in North America? Do you think that there is any kind of risk that that could actually hamper demand growth?
Howard Frank: You know, I think, it’s going to, actually be the reverse. I think if you think about it over the last several years we as an industry have added a huge amount of additional capacity. And in my mind, I’m not sure everybody agrees with me, I think that capacity or supply has outstripped demand. Now it’s exacerbated by obviously the very difficult economies we’ve had during the last couple of years. I think if you believe the economic forecasters and we talk about a 3% to 4% growth in GDP in North America next year and getting back to some growth in Europe. I think the slowing capacity is a positive sign for us and I think demand will start to catch up with the capacity that we have added over the last several years. So I think it’s a sign that we should see some good growth in ticket prices as we go forward. And I think that is what we are forecasting for this year. I think it might even be better in 2012 and beyond.
Felicia Hendrix – Barclays: Great. And then just with these rising fuel prices and obviously it’s diluting your earnings growth, any chance of reinstating a fuel surcharge?
David Bernstein: Our position on that has not changed at this point.
Howard Frank: No. I don’t, I think if, it – when you have these huge fast spikes it’s easier to perhaps justify the fuel surcharge. I don’t see that in the cards though not based on where we see fuel for this year.
David Bernstein: We’ve put out a position on that and if that position changes we’ll put out another statement. But we put out a statement January 7, ‘10, is that right? So since that time our position hasn’t changed. And for follow-up questions we’d like to limit it to two questions per person if we can.
Felicia Hendrix – Barclays: Okay. Great. Thanks, guys.
Operator: And thank you, continuing on, our next question comes from the line of Janet Brashear from Sanford C. Bernstein. Please proceed with your question.
Janet Brashear – Sanford C. Bernstein: Thank you. In 2011 you have three new ships coming on that are all fairly recent design classes. I’m wondering if you could give us a little idea of what the operating costs and the fuel cost profiles of those ships are versus previous versions i.e. how much cheaper are they to run? And then as you’re looking at that net cruise costs number work that you’re projecting to be flat next year. How much of that is coming from this new hardware versus other sorts of cost controls?
David Bernstein: Well, overall, we have always talked about we have gotten some economies of scale from the new ships. First of all, as you increase capacity from a shore-side perspective you do get economies of scale there and then when the ships that are coming in, like the ones, three of the four are larger than the average ships, they do provide some economies to scale. But that’s a very with three ships and 98 ships in our fleet those economies of scale are a very small portion of the overall benefit that we are seeing. One of the big benefits from a lot of the new ships is that the newer ships are more fuel efficient than the existing fleet and that’s something that, we’re seeing lower fuel consumption per berth day as a result of that and some of the benefit that we have rolled into our guidance is due to the newer ships.
Howard Frank: Okay. The biggest -- I agree with David, the biggest benefit is the fuel efficiencies and on average, when you’re talking the major lines and larger ships, we’re getting something like 20% efficiency on the newer ship versus the prior ship. But it’s all rolled into this annual fuel savings that we’re seeing of around 2% to 3% a year and have been seeing. So it’s all rolled into those numbers.
Janet Brashear – Sanford C. Bernstein: Okay. Great. And final question, relative to capacity, in 2012 the order book suggests that the industry capacity actually it’s a little higher than the 2011 growth number based on several smaller lines that are adding ships. How do you project that changing the competitive dynamics?
Beth Roberts: We have the industry capacity growth in ‘12 and ‘11 pretty consistent at roughly 5%.
Howard Frank: I think, Janet, I think, the -- it’s a tough question to answer because our capacity, if you think about the way, our business model is in so many different market. So it really depends on those markets in which capacity, competitive capacity comes into the market and whether it affects that particular market. But overall, if capacity is similar -- the industry capacity increases similar to 2011, we don’t see that as a significant issue and we’re talking about 4% or 5%. What is industry capacity in 2011, Beth?
Beth Roberts: It’s just under 5%.
Howard Frank: Right. And 2012 about the same. So it’s about 5%, just under 5% in each of those two years according to our data. Now we do a weighted average set of numbers so our numbers are perhaps a little bit more refined than yours, I’m not quite sure what you are looking at.
Janet Brashear – Sanford C. Bernstein: Okay. Great. Thanks.
Operator: Thank you. Continuing on our next question comes from the line of Assia Georgieva from Infiniti Research. Please proceed with your question.
Assia Georgieva – Infiniti Research: Good morning, everyone. Congratulations on a great quarter. I had one question. It’s on the cost side in Q1. It seems that you did a great job in Q4 bringing down cost on a constant dollar basis. I’m a little surprised that you expect some increase in Q1. Is that due to the Carnival Splendor and what would it be without it?
David Bernstein: No. The increase in costs in Q1 is not due to the Carnival Splendor. We did have the voyage disruption but obviously the profitability is out. When you look at costs in Q1, one of the things you have to factor in is we had the gain on the sale of the ship last year so the costs in Q1 are actually, I think, down 1%, they were up 3% to 4% and…
Assia Georgieva – Infiniti Research: And I think you indicated flat to up 1% without the Artemis gain.
David Bernstein: Yeah. It’s flat to up 1%, correct without the Artemis gain. We are looking at flat for overall for the year but you have to keep in mind that any one quarter is not a great indication of the overall cruise costs because you do have SG&A and other expenses that are not necessarily spread evenly throughout the year and in wave season you might see some extra advertising or something like that depending on the circumstance.
Howard Frank: And we do ramp up marketing costs in the first quarter and that could be a role in terms of roll up of the numbers.
Micky Arison: Yeah. Sometimes that marketing cost gets pulled back if wave is very strong. So it’s hard to tell but generally the marketing costs are bigger in the first quarter than any other quarter.
Assia Georgieva – Infiniti Research: Okay. That makes sense. Thank you so much.
Operator: And thank you for your question. Continuing on, our question comes from the line of Robin Farley from UBS. Please proceed with you question.
Robin Farley – UBS: Hi. I have got one boring question and then another one. But can you give a little more color on the third. You mentioned you’re going to breakout North America and then EAA? And then you mentioned something about Cruise Support and I’m assuming you will restate some historic years as well with that?
Howard Frank: I’m glad you asked that question, Robin, because I want to understand that too, yeah, David?
David Bernstein: No. There really isn’t any restatement. What we’ve called cruise, our Cruise segment or combined cruise historically we broke into three pieces. And the first two was obvious, the third piece is a combination really of two things, one, it’s our corporate office, for instance, Micky, Howard and I are not included…
Howard Frank: But those costs are very low.
David Bernstein: … in any of the brands’ numbers and of course, we have a couple of cruise facilities that we operate, that we own and operate, things like Grand Turk, Puerta Maya, Roatan and Long Beach. And those operations are also part of corporate, so all of the corporate items we have thrown into Cruise Support. That’s the way we look at the business and we’re going to be giving you the data in the same way that we look at it.
Robin Farley – UBS: David, will that be a revenue line, when you were talking about Grand Turk and Puerta Maya, you’ll have?
David Bernstein: There were some very small amounts of revenue in those numbers and you’ll see that in the segment reporting.
Howard Frank: It’s more than offset by corporate G&A, so it’s just one small part of the overall corporate group. We run these small profitable -- they are profitable businesses but they are small.
Robin Farley – UBS: Okay. That’s helpful and I’ll see it when you put it out I guess.
Howard Frank: Yeah.
David Bernstein: Yeah. And Robin, you’re going to get, when we put this segment out you will get the year-over-year. I mean you’ll see what the last year was as well because we’ll provide a couple of year’s worth of data.
Beth Roberts: But there will be no restatement to yields or our…
David Bernstein: No, no, restatement because the combination of all three is exactly what we were doing before with the Cruise segment. We just broke the Cruise segment into three parts.
Robin Farley – UBS: Okay. All right. Great. And then, I just had a question on, a lot of Howard’s commentary was about bookings that have taken place since your last call. And with the Splendor and that was in the headlines pretty heavily for a few days there. Did you see that temporarily impact the booking trends? In other words, in theory I’m wondering if, without that if we would be seeing higher numbers even but, obviously the outlook is very positive that you are giving. Just trying to get a sense of whether you’d saw temporary impact from that or not?
Howard Frank: We run the data in a couple of different ways and so for the, if you look at the last six weeks’ booking trends they’re really no different than the last 13 weeks….
David Bernstein: We have no…
Howard Frank: We haven’t seen any impact.
David Bernstein: We didn’t see any impact at all.
Robin Farley – UBS: Okay. Great. Thank you.
Operator: And thank you for your question. Continuing on, our next question comes from the line of Steve Wieczynski from Stifel Nicolaus. Please proceed with your questions.
Steve Wieczynski – Stifel Nicolaus: Good morning, guys. And you talked about this a little bit in the press release, basically indicating that with the bad weather you have seen so far in Europe and the U.S. at this point. Can you just talk a little bit more about what you have seen in terms of booking patterns here over the past two or three weeks?
David Bernstein: I think, Howard, just answered that question basically. The booking pattern has stayed the same. The only point we were making in the press release is historically when you have early cold snaps in the north here. Generally speaking, that starts to get people thinking about getting away to warmer climates and obviously we have a lot of warm weather cruises. So we would anticipate that that would help boost the wave but it’s not something you see instantly. But we’re hopeful that that will just reinforce what we expect to be a pretty good wave season.
Steve Wieczynski – Stifel Nicolaus: Okay. Great. And then, I know it’s still early on but when you look into summer of ‘11, can you just give a little color on what you are seeing so far with both Alaska and Mexico?
Howard Frank: Alaska and Mexico, well, I think, I indicated, I think bookings, pricing is up year-over-year in Europe and I believe in Mexico as well.
Micky Arison: Mexico is a very small segment.
Steve Wieczynski – Stifel Nicolaus: Yeah.
Howard Frank: It’s a very small part of our, I mean Mexican, when I talk about Mexico, I’m talking about West Coast Mexico, it’s a small part of our business at that point in time. But Alaska is strong and Caribbean is strong and Europe is strong.
Steve Wieczynski – Stifel Nicolaus: Okay. Great. Thanks.
Howard Frank: Okay.
Operator: Thank you, sir. And continuing on, our next question comes from the line of Harry Curtis from Nomura. Please proceed with your question.
Harry Curtis – Nomura: Good morning. I’ve got two quick questions. Micky, is there anything that you’ve seen in the recovery in global demand, I guess emphasis on global, since the last call that prompts you to at least consider upping the new ship orders? And the second question is, with respect to your dividend payment, back in 2008 your payout ratio was roughly 50% and if you could give us some sense of your thoughts going forward on what that might look like over the next 12 months?
Micky Arison: First of all, I’d say that our new building position is unchanged. I think it’s fair to say that we have said that we are looking at growing probably in the area of two to three ships a year. I don’t see that changing for the time being. As far as -- what was the second?
Harry Curtis – Nomura: Dividend yield
Micky Arison: All I would say is that post the financial crisis our Board has -- I think as many have, become more conservative and so I wouldn’t want to preempt the Board. If after this next Board meeting, they agree to some sort of going forward position as far as payout ratio, we will announce it. If they don’t and want to keep their flexibility, then we won’t. So I don’t want to preempt the Board. It’s clearly a Board decision, it’s something that’s heavily discussed and debated and we will go through that in mid-January and advise you of a decision at that time.
Harry Curtis – Nomura: Thank you.
Operator: And thank you, sir. Continuing on, our next question comes from the line of Kevin Milota of JP Morgan. Please proceed with your question.
Kevin Milota – JP Morgan: Good morning, everyone. Appreciate the time. As you looked at the consumer going into ‘11 was hoping you could give some commentary -- understandably the ticket yields are expected to go up, see how you are feeling about onboard spend and kind of the expectations for the onboard component during the year?
David Bernstein: The onboard component, this year we got about a 2% overall increase and next year we are looking for something like 2.5% overall. Keep in mind in the first quarter, we had a couple of one-time items which, as a result, when you take that out the increase is actually a lot higher, as Howard had mentioned in his notes. So we are seeing a gradual improvement in the consumer and expecting the onboards to go up throughout the year. And we are also taking lots of steps to make things better ourselves. We’re not just waiting for the consumer, adding various things on our ship, things like facial recognition in the photo, karaoke with live bands on some of the Carnival ships. We are even adding things like the carotene hair straightening treatments on a lot of our ships. So we are looking to expand the various offerings and to increase the revenue yields.
Kevin Milota – JP Morgan: Okay. Great. And then one quick one on fourth quarter capacity, what the increases are going to be?
David Bernstein: Fourth …
Howard Frank: Which quarter?
Kevin Milota – JP Morgan: Fourth quarter.
David Bernstein: Of 2011?
Beth Roberts: It’s 5.8% for the company.
Howard Frank: And for the fourth quarter?
Beth Roberts: That is the fourth.
David Bernstein: That is fourth quarter. It’s 5.2% for the full year.
Kevin Milota – JP Morgan: Okay. Very good. Thank you very much.
Operator: Thank you, sir. Continuing on, our next question comes from the line of Tim Conder from Wells Fargo. Please proceed with your question.
Tim Conder – Wells Fargo: Thank you and my congratulations also on the good execution. A couple of items here, can you give a little more color, Howard, on what you have seen over the last 90 days in the Caribbean? You’ve said that obviously the direction overall in the yield but you alluded that the Caribbean is still a little bit weak, but it appears that the Caribbean since your report in September has gotten better, just maybe a little bit of additional color on that for first and second quarter. And then back to -- circle back to an earlier question on the dividend. Could you maybe give us a little bit of an update on thinking, philosophy of a base dividend versus the consideration of a maybe formulaic variable component?
Howard Frank: I am getting signals from Beth on the Caribbean book because specifically I don’t recall, but I would say this. In the first quarter, there is -- I would say that -- my recollection was that, because I said late bookings have been solid actually, in fact, actually up year-over-year. Some of that’s got to be Caribbean on a broader sense. I think Caribbean is holding its own and sequentially seems to be getting better in the second quarter on a year-over-year basis. So I think that is probably fair and I think that is about all I can recall because there is so much data that we look at. But Caribbean was holding its own basically and maybe slightly better year-over-year. And that could be attributable to the winter -- the tough winter or early winters we are experiencing up north and so on, but clearly the situation -- it’s stable to up I would say, it’s probably fair to say.
Tim Conder – Wells Fargo: Another way, I guess, Howard, to ask that question, would you say over the last 90 days has that done better relative to other geographic itineraries?
Howard Frank: It’s done better relative to -- it has improved relative to the prior Caribbean. In other words, it has gotten better, having gotten worse.
Tim Conder – Wells Fargo: Right. Okay.
Beth Roberts: But our first quarter guidance is still the same as it was.
Howard Frank: Yeah. We have -- that is not the margin because it doesn’t really change very much.
Tim Conder – Wells Fargo: Okay.
Micky Arison: Yeah. The guidance hasn’t changed. I wouldn’t -- it’s anecdotal right now. The guidance -- if it was significant, the guidance would have changed.
Tim Conder – Wells Fargo: Okay.
Howard Frank: I did say this about the first quarter, that right now North America brands are flat year-over-year on pricing and there is very little inventory left to sell.
Tim Conder – Wells Fargo: Right. Right. Okay.
Howard Frank: We have forecasted flat to down slightly for North America for the quarter. And I said in my comments, I put perhaps in there because there is nothing that suggests that we will be down but that is what the operating companies are telling us. So that is why we kind of hedged it a little bit. It may be okay. So that included that firming -- the firming of the late bookings has helped.
Tim Conder – Wells Fargo: Okay. And again, as you have said also, there is just not that much left to sell.
Howard Frank: Right. Right.
David Bernstein: Tim, as to the dividend, really as Micky said before, it’s a Board decision. We’re going to be talking to the Board in January and when we have more news we will disclose it.
Tim Conder – Wells Fargo: Okay. Great. Thank you all.
Operator: And thank you for your question, sir. Continuing on, our next question comes from the line of Ian Rennardson from Banc of America-Merrill Lynch. Please proceed with your question.
Ian Rennardson – Banc of America-Merrill Lynch: Thank you and good afternoon. A couple of questions, one on the Board meeting you are having in January. Will you be discussing a further shareholder return because you allude to that in the statement, Micky? Would that -- thinking about share buybacks or special dividends, when does that come back on the agenda? And, secondly, on the new split into EEA, will you be giving us the foreign exchange rates at which you convert so we get a little bit more clarity? And then if I can just slip a last one in, in the last two or three calls, Micky, you have talked about being a little bit worried about the increasing seasonality of the business Q1 and being less profitable maybe that in the past and Q3 being much more profitable. You haven’t mentioned that this time. Has that not panned out to be as much as you thought it might be? Thank you.
Micky Arison: I think it’s -- going to the last part of your question first, I think it’s kind of baked into the numbers. You know, when we talk about -- we have gotten a lot of questions about the Caribbean. And really the issues in the Caribbean are at this time of year created by that seasonality. It’s something like 75,000 to 80,000 more beds in the Caribbean in quarter one than there is in quarter three. It’s almost like the Las Vegas Strip moving into the Caribbean for the quarter and obviously that will have an impact and create more seasonality. But it’s now baked into the numbers so year-over-year it’s 15%. It’s just a fraction of that 80,000.
Beth Roberts: Our guidance for the year does get better after you get through the first quarter -- half is stronger.
Micky Arison: Right. Right. And clearly, the third quarter is a key and critical quarter for us.
David Bernstein: And the third quarter is -- last year was two-thirds of our profitability. And as we look into 2011, it’s not significantly changing from that level.
Howard Frank: Based on the amount of dividend questions we get I get the sense that people don’t believe that it really is a Board decision. We have a very independent group of Board members and we are not going to preempt them. And we are going to let them make the decision and then we will make our announcement.
David Bernstein: The FX rates -- we give the FX rates in the press release, I mean.
Ian Rennardson – Banc of America-Merrill Lynch: Yeah.
David Bernstein: So I am not sure -- they are not changing just because we are giving different segments.
Ian Rennardson – Banc of America-Merrill Lynch: No. Yeah. I was thinking more about giving as the -- I suppose we are getting to the EEA. It would be absolutely even better if you could give us what you do by U.K., by Germany, your big brands over there because they are different currencies and stuff but you know…
David Bernstein: Well, we do give you the individual currencies but as far the -- we don’t disclose brand by brand details because these are the three major Cruise segments.
Beth Roberts: But I think the weighting is kind of like two-thirds to the euro or maybe a little more to the euro versus the pound.
Ian Rennardson – Banc of America-Merrill Lynch: Fantastic. Thank you.
Operator: And thank you for question, sir. Continuing on, our next question comes from the line of Tim Ramskill from Credit Suisse. Sir, please proceed with your question.
Tim Ramskill – Credit Suisse: Thank you. A couple of questions for me. The first one was just on the unit cost side, David, in your comments at the start you talked about the better delivery on the unit cost side versus what you had anticipated at the start of the year. So, firstly, could you give us some color as to how you have delivered that? And then, secondly, whether you think there is upside risk to your cost focus next year? Then the second question was as you look at the price points across your range of brands is the return to normality in evidence when you look at premium pricing versus the pricing of more contemporary cruises?
David Bernstein: Well, let’s start with the unit cost. Yeah, we did do about 1.5 point better than we did last year. But I think a lot of that stems from the fact that we were able to achieve things with suppliers that was significantly better than we had anticipated in the guidance. Plus on top of it this year what we are starting to see is as the economy turns it’s a little bit better world out there. So I mentioned before we are starting to see inflationary pressures in certain areas. So we are finding ways to get that out of the system and keep costs flat. Our brands are working on hundreds of different items to save costs. So we gave you what we anticipated to be the most realistic cost guidance for the year. But we are never going to stop. If there is an opportunity to do better than that, just like last year, we will find a way and we will get the costs out of the system.
Howard Frank: Tim, on the question of -- I think what you asked on the price points are premium pricing doing better or worse than contemporary pricing for our different brands. It’s really a hard, I mean we have so many brands and whether they are on this side of the Atlantic or the other side of the Atlantic it’s hard to say other than to tell you that I think this past year premium pricing came back nicely, my recollection is, in North America and was stronger in its improvements than contemporary pricing. I think going forward I think it’s going to be more or less the same that both premium and contemporary pricing are showing good improvement here in North America as well as in Europe.
Tim Ramskill – Credit Suisse: Can I just follow-up -- excuse me -- just on that point about premium pricing? I guess you commented that there is still some way to go to get prices back to the ‘08 level. So is there an equal amount of recovery potential in both the contemporary and the premium segments?
Howard Frank: I am going to have my colleague, Beth Roberts, answer that question because that is something -- that is beyond my pay grade, is that what they say? Only look at North America really.
Beth Roberts: Yeah. I’m looking at North America and it looks like….
Howard Frank: If you have got to do that, it has got to be pretty close.
David Bernstein: She took out her calculator which means it’s very close. We can -- why don’t we go on (inaudible) question and then…
Tim Ramskill – Credit Suisse: Okay. Thanks, guys. Cheers.
Operator: Thank you, sir. Continuing on, our next question comes from the line of Wyn Ellis from Numis Securities. Please proceed with your question.
Wyn Ellis – Numis Securities: I have got two questions, please. First of all, can you tell us what the proportion of direct sales were? How that compared with 2009 and where you see that proportion going as we move forward? And secondly, could you just repeat what you said about the proportion of capacity left to sell for Q3, both in North America and EAA?
Micky Arison: Direct sales as a percent of revenue was 17% in ‘09. We don’t have the ‘10 data yet. I would expect some slow growth that has -- the last many, many years has been growing slowly. So I would anticipate that that would continue. But my guess is it would still be in the high teens.
Howard Frank: I think what I said about -- go ahead, Wyn, you have another follow-on question?
Wyn Ellis – Numis Securities: Yeah. Just a follow on to that because NCL recently, I think, said that they had seen their direct sales go from around about 13% in 2007 to over 27% this year. Why do you think they are achieving so much more than you and do you think you can catch them up on that?
Micky Arison: Bob Becker.
Howard Frank: I think they have put a lot more investment into their direct sales program. They see a lot more benefit from it. I think when you look at our business model, there is multiple brands in different countries around the world and with different percentages of direct business. So I don’t think they are really comparable to what they are doing. I think in the last couple of years they have made a concerted effort to get more direct business and to work for their business and that’s it.
David Bernstein: We have been working very hard to make things much more efficient with the travel agent. One of the things -- as we continue to automate everything with the travel agents, I think we are approaching 60% of our bookings with travel agents are now taking on an automated basis. So we’ve been focusing very heavily on that in terms of reducing cost.
Howard Frank: What I said on the third quarter, I said that there is really not a huge amount of business booked at this point in time. There is still a huge amount of business to be booked. We do get a lot of that business beginning during wave season. But for the business that we have booked already that pricing was up nicely in both North America and European markets.
Wyn Ellis – Numis Securities: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Greg Badishkanian from Citi. Please proceed with your question.
Greg Badishkanian – Citi: Yeah. Great. Thanks. Just a question on some of the metrics such as booking windows and cancellations, I know you were hurt by that during the recession. Have you noticed some improvements over the last quarter on those particular metrics as your business has been improving?
David Bernstein: Yeah. As far as the booking windows are concerned, it did shorten after the financial crisis and then it came back in 2009. Probably by the middle of 2009, the booking window was back to its historic levels and it’s moved around a little bit since then, but really hasn’t changed significantly. One of the things that everybody looks to in terms of the booking window is we are never going to get too far ahead or too far behind because we would adjust the prices. We don’t want to be too far ahead because then we are leaving money on the table. So the booking window is within historic norms and it has been since mid ‘09.
Greg Badishkanian – Citi: And cancellations as well?
David Bernstein: Cancellations, yeah, we haven’t seen anything unusual in terms of cancellation rates throughout all our brands for quite a while for the same time period.
Beth Roberts: And before we go on to the next question, I will just comment on the revenue yields for the premium versus the contemporary segment. It says that the premium segment, which did have a stronger fall off of the 2008 levels, is still trailing the contemporary segment.
Greg Badishkanian – Citi: Great. Thank you.
Operator: Thank you. We now have a question from the line of Rachael Rothman from Susquehanna. Please proceed with your question.
Rachael Rothman – Susquehanna: Hi. Thanks. Good morning. Can you comment a little bit -- I know there have been a number of questions on the booking window. But just thinking about going into this year’s wave season, the 2011 wave season and the length of the booking window and how your visibility compares to where you would have been at this point last year or heading into the 2010 wave season?
Howard Frank: I think we are -- let me just say this, we are approximately 50% booked, which is similar to where we were last year.
Rachael Rothman – Susquehanna: Okay. And overall, was the booking window…
Micky Arison: Visibility is very, very similar. The only time we had a lot less visibility was coming off the financial crisis.
Rachael Rothman – Susquehanna: Okay. Perfect. And then can you just reiterate your comment with respect to net yields or 2012 business? I think in response to somebody’s question earlier you made a comment about sequential progression heading into 2012.
Howard Frank: Yeah. I made a comment not specifically about, because we haven’t booked much, if any, business for 2012 yet except maybe for some long world cruises. But that if the economy continues to strengthen as it’s forecasted to in 2011 in the 3% to 4% range I would expect that with the diminished amount of capacity coming in to the cruise industry that we could see some positive yield growth again in 2012.
Rachael Rothman – Susquehanna: Perfect. Thank you so much.
Operator: Thank you. And our final question comes from the line of Rick Lyall from John W. Bristol. Please proceed with your question.
Rick Lyall – John W. Bristol: Hi guys. Good job this year. A couple quick questions. South America was a train wreck -- pricing in South America was a train wreck early in 2010. Can you say what you are seeing there this year?
Micky Arison: Very, very good bounce back and it’s doing very well. Both Brazil and Argentina have come back strongly. I think there was a massive capacity increase last year, capacity increase this year is relatively small and the fact that a little bit more capacity was dedicated to Argentina, I think helped as well, so much, much better.
Rick Lyall – John W. Bristol: Okay.
Howard Frank: And that is both for the Costa brand as well as the Ibero brand.
Rick Lyall – John W. Bristol: Okay. That is encouraging. A follow-up to Robin’s question where she was asking about the corporate and port segment, are you going to break out CapEx and depreciation by the segments and give us any kind of balance sheet information? And just kind of a follow-up, I am surprised you didn’t mention Cozumel as a facility in there. Why wouldn’t that be included?
David Bernstein: I said Puerta Maya, which is Cozumel.
Rick Lyall – John W. Bristol: Okay. Sorry.
David Bernstein: Yeah. That’s okay. Yeah, you will have each line item down to operating income, so you will have the detail and you will have CapEx as well by segment.
Rick Lyall – John W. Bristol: Okay. That’s a good development. Thanks for doing that.
Howard Frank: (Inaudible) to please all you guys.
Operator: Thank you, sir. And it appears that there are no further questions at this time. I will turn it back to Mr. Frank for your concluding remarks. Thank you, sir.
Howard Frank: Thank you all for your questions. And with that, we will wrap it up. We want to wish you all a happy and healthy holiday season and a good 2011. All the best.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect. Once again have a safe and happy holidays. Thank you.